Operator: Thank you for joining the Greenlight Capital Re conference call for Fourth Quarter and Full Year 2013 Earnings. Joining us on the call this morning are David Einhorn, Chairman; Bart Hedges, Chief Executive Officer; Tim Courtis, Chief Financial Officer; Brendan Barry, Chief Underwriting Officer and Claude Wagner, Chief Actuarial Officer. The company reminds you that forward-looking statements that may be made in this call are intended to be covered by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The forward-looking statements are not statements of historical facts, but rather reflect the Company’s current expectations, estimates and predictions about future results and events and are subject to risks, uncertainties and assumptions, including those enumerated in the Company’s Form 10-K dated February 18, 2014, and other documents filed by the company with the SEC. If one or more risks or uncertainties materialize or if the company’s underlying assumptions prove to be incorrect, actual results may vary materially from what the company projects. The Company undertakes no obligation to update publicly or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Please note the event is being recorded and I will now like to turn the conference over to Bart Hedges. Please go ahead sir.
Bart Hedges: Good morning. Thank you for taking the time to join us today. Reinsurance market remained challenging during 2013. In general the market remained overcapitalized during the high degree of competition especially from new business. The investment environment was more appraisable in 2013 as the equity markets reflected reduced concerns about economic uncertainties despite lack luster corporate earnings. In the fourth quarter of 2013, Greenlight Re generated profits in both our underwriting and investment portfolios. Overall our fully diluted adjusted book value per share increased by 8.6% in the quarter and increased by 26.8% for the year. Our 2013 underwriting result improved significantly from 2012, our combined ratio for the full year of 2013 was 97.1% compared to 112.9% for the prior year. The return from underwriting continues to be driven by profitable performance in each of our four core areas of concentration, Florida homeowners, non-standard auto liability and employer stop-loss and catastrophe retro. The composite ratio which is the loss ratio plus the acquisition cost ratio for these four core areas for the fourth quarter and full year 2013 was 95.7% and 89.4% respectively. These four areas represent approximately 92% of our 2013 net earned premium. We continue to find this business attractive and believe we have strong relationships with our partners continue producing profitable returns in 2014. We continue to monitor run-off of our commercial automobile and general liability book to business. These accounts are developing as expected based on our current estimates of ultimate losses. Recently several other companies reported material development of past reserves related to business similar to ours. By our performance on this business was poor, we believe we spotted the trends quickly and by recognizing losses in 2012 and litigating further exposure we were and are ahead of the curve in recognizing our ultimately liabilities. While the reinsurance market remains challenging, our gross premiums written for 2013 increased by 25.2% over 2012 and net premiums earned increased by 17.4% over 2012. This growth was mainly attributable to the growth in our non-standard automobile liability business. We did not add any new non-standard automobile accounts during 2013 but our existing partners grew significantly. However we do not expect this growth to continue into 2014. Our property catastrophe retro account continues to benefit from the light [ph] year for catastrophes. The market for this business is competitive with a great deal of new capital from investors looking to increase their returns through investments in CAT bonds, IOS funds, sidecars and other alternative vehicles. We remain disciplined in our approach for this business and we will reduce our writings if we cannot find transactions worth attractive risk adjusted returns. With respect to our property catastrophe aggregates our maximum exposure to a single event is currently $106.4 million and our maximum exposure to all events is $177.4 million. As a reminder we measure our aggregate as the maximum amount of limit available less the amount of reinstatement premiums due. We do not knew that the probable maximum loss to PM [ph] approach. At January 1, 2014 we had mixed experience with our renewals and new business. We decided to not renew one significant non-standard automobile contract to a highly competitive reinsurance pricing and uncertainty about the company’s abilities to continue producing profitable business. We renewed several other catastrophe retro accounts. This continued one long standing retro account and added two new retro accounts. Our underwriting team is focused on finding new opportunities where we can use our differentiated client centric approach to underwriting to develop long term partnerships. We continue to focus on only accepting well priced rates [ph] and we believe even in a difficult market we can produce underwriting profits. Now I would like to turn the call over to our Chairman, David Einhorn to discuss our investment results and the progress in Greenlight Re’s overall strategy.
David Einhorn: Thanks Bart. Good morning everyone. The Greenlight Re investment portfolio returned 6.6% in the fourth quarter and 19.6% in 2013. During the quarter our longs outperformed the S&P 500, our shorts went up less than the market and macro-positions led by Yen, were a slight contributor. This is also the case for the full year as we generated alpha in both our long and short portfolios and had gains in our macro-positions. During the quarter the largest contributors to our results were long positions in Apple, Marvell and Micron Technologies. The biggest detractors were short positions in Chipotle and U.S. Steel. Our portfolio performed well in the melt-up environment in 2013 as investors priced in lower unemployment and improved home prices. A number of new long positions contributed to our performance. We also avoided getting hurt too badly in our short portfolio by having minimal exposure to the most speculative stocks many of which appeared to have completely disconnected from normal valuation methods. We established a position in Micron in the second half of the year, we believe the company can earn $4 per share in the Calendar year 2014 and it is well positioned to benefit from favorable dynamics from consolidated in the DRAM and Flash memory industries. We also added two energy long positions during the quarter, Anadarko Petroleum and British Petroleum. The market ended the year on a strong note after a huge move that was supported mostly by multiple expansion as earnings growth was lack luster. In 2013 the market rewarded many companies repeating [ph] earnings after they had lower guidance. This trend is not likely to continue indefinitely. During the month of January our net exposure decreased about 10 points to 45% as we reduced our exposure on both long and short size. We continue to hold macro positions in gold throughout the end and in short sovereign debt. Our goal in 2014 remains to protect capital in an uncertain environment and define investment opportunities that will generate alpha on both our long and short portfolios. 2013 was a good year for Greenlight Re. We had decent results on both our underwriting and investment activities and solid growth in fully diluted book value per share. We believe we can be better on both sides of our dual engine strategy but are pleased with how the past year has shown our business strategy at work. Now I’m going to turn the call over to Tim who will review the financial results.
Tim Courtis: Thanks David. For the fourth quarter of 2013 Greenlight Re reported net income of $83.9 million compared to a net loss of $60.6 million for the comparable period in 2012. The fully diluted earnings per share was $2.22 for the fourth quarter of 2013 compared to a net loss per share of $1.55 for the same period in 2012. For the year ended December 31, 2013 we reported net income of $225.7 million compared to net income of $14.6 million for the year ended December 31, 2012. On a fully diluted basis net income per share was $6.01 compared to $0.39 of 2012. Gross premiums written were a 124.8 million during the fourth quarter of 2013 a slight increase from gross premiums written of $124 million in the fourth quarter of 2012. As Bart mentioned for the year ended December 31, 2013 gross written premiums increased by 25.2% over 2012 to $535.7 million. The composite ratio for our frequency business for the 2013 fiscal year was 97.2% compared to a composite ratio of a 108.8% during 2012. The lower composite ratio on our frequency business reflects a stable underwriting performance experienced during the year particularly on our core areas of focus. For our severity business, the composite ratio showed positive developments during 2013 as the loss reserves on Super Storm Sandy which were booked in 2012 were taken down in the first quarter of the year. The overall composite ratio was 93.2% for 2013 compared to a 109.1% for the prior year. Our total expense ratio which is comprised of both internal expenses and corporate expenses was 3.9% of net premium earned in 2013 as compared to 3.8% for 2012. Operating expenses of $21.7 million for 2013 increased by approximately $4.2 million versus 2012. This increase was primarily the result of increased compensation cost associated with additional staff hired during 2013 as well as higher bonus accruals resulting from positive development on the 20111 through 2013 underwriting years. As a result the combined ratio for the full year of 2013 was 97.1% as compared to a 112.9% for 2012. We reported a net investment gain of $83.3 million during the fourth quarter of 2013 reflecting a net return of 6.6% on our investment account. We recorded net investment income of $218.1 million for 2013 attractive a net investment return of $19.6 million. The fully diluted adjusted book value per share as of December 31, 2013 was $27.91, a 26.8% increase from $22 and $0.01 per share reported at December 31, 2012. Now I would like to turn the call back to Bart to provide some concluding remarks.
Bart Hedges: Thanks Tim. Our underwriting performance in 2013 was much improved as well their overall performance in measured by the increase in our fully diluted book value per share. We continue to survey the market for underserved areas and to seek partners that value our capacity and long term partnership approach to the business. However the reinsurance market remains competitive and one of the strengthens of our model is to be able to remain disciplined during times of tightened competition. We can now find opportunities to deploy our capital profitably, we will continue to manage our renewal relationships and remain ready for a better underwriting environment. Our goal is unchanged, we aim to build long term shareholder value by writing a concentrated underwriting portfolio with the best risk adjusted returns we can find and to utilize the flow generated from these contracts to invest in our value oriented long, short investment program. This investment approach is historically generated superior returns with less volatility than the overall equity markets. We will continue to execute on this strategy and remain focused on driving our key yardstick, increased fully diluted book value per share. We appreciate your continued confidence in Greenlight Re. We are looking forward to hosting our Fourth Biennial [ph] Investor Day on May 20th at the Light House in New York City and I will be sending out the details shortly. For anyone interested in attending our Investor Day please contact Garrett Edson of ICR. Thank you again for your time and now we would like to open the call up to questions.
Operator: (Operator Instructions). Should you have any follow up questions please direct them to Garrett Edson of ICR at 203-682-8331. And he will be happy to assist you. We also remind you that a replay of this call and other pertinent information of our Greenlight Re is available on our website at www.greenlightre.ky. The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.